Operator: Good day, and welcome to the Danaos Corporation Conference Call to discuss the Financial Results for the three months ended December 31, 2018. As a reminder, today’s conference is being recorded. Hosting the call today is Dr. John Coustas, Chief Executive Officer of Danaos Corporation; and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Dr. Coustas and Mr. Chatzis will be making some introductory comments and then we will open the call to a question-and-answer session. Thank you. Please go ahead, sir.
Evangelos Chatzis: Thank you and good morning, everyone and thank you for joining us today. Before we begin, I quickly want to remind everyone that management’s remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements are made as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review the detailed Safe Harbor and Risk Factor disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. With that, let me now turn the call over to Dr. Coustas, who will provide the broad overview of the quarter.
John Coustas: Thank you, Evangelos. Good morning and thank you for joining today’s call to discuss our results for the fourth quarter 2018. The fourth quarter 2018 is the first full quarter following the completion of our recent debt refinancing, which reduced indebtedness by $551 million. reset financial covenants and extended maturities through the end of 2023. As mentioned before, the refinancing has strengthened the Company's balance sheet and growth prospects by removing all balloon payments and maturities of existing debt over the next five years. Adjusted net income for the fourth quarter of 2018 was $36.6 million, or $0.18 a share, $5.4 million or 17.3% higher when compared to fourth quarter of 2017. This improvement was primarily a result of a $5.8 million decrease in net finance expenses, combined with a $1.4 million increase in operating revenues due to improved re-chartering rates and partially offset by a $1.9 million increase in total operating costs. Adjusted EBITDA for the fourth quarter of 2018 was $80.2 million, $0.2 million higher than fourth quarter of 2017. Additionally, in the context of prudently evaluating the assets on our balance sheet, we recorded an impairment loss of $210.7 million in relation to the market value of certain of our Panamax vessels. The charter market for vessels larger than 5,000 TEU has recently shown encouraging signs of recovery, and the market for smaller vessels remains stable albeit at relatively low levels. Anticipated slow steaming and re-designing of liner networks ahead of the implementation of new restrictions on sulphur emissions in 2020 together with vessels exiting service to be fitted with scrubbers are all positive supply side developments that may lead to improved charter rates. There has also been a continued abstention of new ordering as the market is still waiting on the outcome of trade talks to determine the demand side effects. Overall, we believe that the combined effect of these factors will be positive for the market outlook in the medium term from the second half of the year onwards. Our total contracted revenues as of December 31, 2018 were $1.6 billion, and we maintained our high charter contract coverage of 88% in terms of operating revenues and 74% in terms of operating days over the next 12 months. This insulates us from near-term soft market. Danaos continues to be a leader in the container shipping industry on the back of a solid track record of operational excellence and technological innovation that allows us to continuously deliver high quality service to our customers. At the same time, the recently concluded refinancing transaction further enhances our ability to pursue growth opportunities and deliver value to our shareholders. With that, I'll had over the call back to Evangelos, who will take you through the financials for the quarter. Evangelos?
Evangelos Chatzis: Thanks and good morning, again to everyone. I will briefly review the results for the quarter and then open the call to Q&A. Adjusted net income of $36.6 million, for the fourth quarter is higher by $5.4 million when compared to adjusted net income of $31.2 million for the fourth quarter of 2017. The main adjustments to net income this quarter were to adjust for an impairment loss of $210.7 million as previously mentioned and deferred financing amortization of $5.6 million. Operating revenues increased by 1.2% or $1.4 million, to $115.6 million in the current quarter compared to $114.2 million in the fourth quarter of 2017 as a result of improved recharting rates for certain of our vessels. Vessel operating expenses decreased by 2.3% or $0.6 million to $25.6 million in the current quarter from $26.2 million in the fourth quarter of 2017, while the average daily vessel operating cost was $5,446 per day for the quarter and remains as one of the most competitive in the industry. G&A expenses increased by $2.1 million to $7.9 million in the current quarter compared to $5.8 million in the fourth quarter of 2017 due to increased expenses of $2.6 million related to our recently concluded debt refinancing. Interest expense excluding amortization of deferred finance costs decreased by $5.7 million to $13.9 million in the current quarter compared to $19.6 million in the fourth quarter of 2017. In accordance with US GAAP, at the time of consummation of the refinancing, we recognized in our income statement in advance all anticipated future interest expense for two of our credit facilities through their maturity. As a result $10.4 million of interest expense for the current quarter did not flow through interest expense as it has already -- as it had already been charged in the income statement previously. This decrease was partially offset by a $4.8 million increase in interest expense as it is our of higher debt service costs while our average debt between the two periods decreased considerably by almost $660 million, mainly as a result of the refinancing transaction. Finally adjusted EBITDA increased by 0.3% or $0.2 million to $80.2 million in the current quarter from $80 million in the fourth quarter of 2017 for the reasons outlined earlier on this call. With that, I would like to thank you for listening to this first part of our call and operator we are now ready to open the call to Q&A.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Randy Giveans with Jefferies. Please go ahead.
Randy Giveans: Hey, good afternoon, gentlemen, How are you?
John Coustas: Hi Randy.
Randy Giveans: Hey, yeah just a few quick questions. First time looking at your fleet, no new billing remaining, what are kind of your plans going forward. Obviously you have them order intermediate Panamaxes, Fenomax that are rolling off charter here later this year, are those kind of candidates for sale?
John Coustas: I don't think really, I think all the ships that we have given the level of quality of vessels they can operate for a very long time and no one from our charters has ever declined a ship due to age. These ships are very well maintained. They are in very efficient in each one in their own category and actually in these kind of segments, there are no new buildings. So practically we don't expect to really there is going to be any reason to sell whatever old scrap these vessels.
Randy Giveans: Okay. And then just kind of looking at some IMO 2020 compliance strategy, do you have any charterers especially on the larger containerships asking about installing scrubbers, maybe in exchange for a higher rate and then on the other end of the spectrum, if you're just going to kind of stick SFO [ph] or the 0.5% blend, any concerns about maybe fuel availability at some of the bunkering ports for that?
John Coustas: For support, we have already said that we have concluded deals to fit scrubbers on 11 of our ships among the larger ones between 6,500 and 13,000 TEU.
Randy Giveans: Those are partner or those are the spot ones?
John Coustas: They are all on charter. We have agreed les say on a step up kind of charter rate staying for all that. So practically as far as we are concerned, we're not kind of speculating on what's going to happen pricewise fuel. Now regarding your second question, I think that there is going to be availability over compliant fuel, which means 0.5%. The debate here is really what will these characteristics this fuel oil are going to be and if there will be any special restrictions in the operation of the ships because the majority of these compliant fuels will be blends, that are not really always very straightforward in terms of compatibility and mixing about them or temperatures that you need to keep them and so on. So that's still a bit of an open question. We'll have to see during the year a number fuel suppliers are testing various blends and we have also I mean ourselves request from charterers to try some of the fuels 0.5% early on in the year to determine if everything is going to be okay. As far as we are concerned, in the container market, the fuel is a responsibility of the charterer. So it's really up to the charterer to be able to shore some supply the fuel oil.
Randy Giveans: Okay. Then just one last question on the balance sheet cash flow, just trying to get some quarterly amort on the debt side for 2019 and 2020. Can you give some guidance there?
Evangelos Chatzis: Yes, it's going to be to the tune of, look we have certain contractual amort in place. Our loan agreements also have a variable portion, which has to be an estimate, but ballpark you may assume $160 million of annual amort.
Randy Giveans: And that's for 2019 and 2020?
Evangelos Chatzis: Yes.
Randy Giveans: Okay. All right. I think that's all for me. Thanks for the time.
John Coustas: Okay. Thanks Randy.
Operator: [Operator Instructions] It appears we have no further question at this time. I'd like to turn the call back over to Dr. Coustas for any further comments or closing remarks.
John Coustas: Thank you, operator. Thank you, all for joining this conference call and for your continued interest in our story. Look forward to hosting you on our next earnings call. Have a nice day.
Operator: Thank you. This concludes today's conference. We would like to thank everyone for their participation. Please have a wonderful afternoon.